Operator: Welcome to Comtech's Fiscal Q1 2023 Earnings Conference Call. As a reminder, this conference is being recorded, Thursday, December 8th, 2022. I would now like to turn the conference over to Mr. Robert Samuels of Comtech. Please go ahead, sir.
Robert Samuels: Good afternoon, everyone, and thanks for taking the time to dial in today. I'm Rob Samuels, Comtech's Head of Investor Relations. Welcome to Comtech Telecommunications Corp.'s conference call for the first quarter of fiscal year 2023. Today, I'm here with Comtech Chairman, President and CEO, Ken Peterman. We're also joined by Mike Bondi, our CFO and we'll also be hearing from Maria Hedden, our Chief Operating Office. Before we get started today, I'll also say that both myself and Ken are always available to answer questions our investors may have, so please get in touch if you want to organize a meeting to talk about the company, our results, or our strategy. We also have a detailed discussion of the quarter in our shareholder letter available on our website and we have also been working to communicate directly about our business and our market between quarters in our blog, Comtech Signals. Finally, let me remind you of the company's Safe Harbor language. Certain information presented in this call will include, but not be limited to, information relating to the future performance and financial condition of the company, the company's plans, objectives, and business outlook, and the plans, objectives and business outlook of the company's management. The company's assumptions regarding such performance, business outlook, and plans are forward-looking in nature and involve significant risks and uncertainties. Actual results could differ materially from such forward-looking information. Any forward-looking statements are qualified in their entirety by cautionary statements contained in the company's Securities and Exchange Commission filings. Now, I am pleased to introduce the President and Chief Executive Officer of Comtech, Ken Peterman. Ken?
Ken Peterman: Hello everyone and thanks again for taking the time to dial in today. As you all know, this is still early days in my tenure as CEO and early in the journey for everyone at Comtech as we move to fundamentally transform our business. That said, as we head into a new calendar year and close the books on our first quarter of fiscal 2023, I could not be more pleased with the progress we're making and the opportunities ahead. One thing that I was consistent and clear about from day one in my conversations with everyone from my leadership team, our employees and our investors, was that Comtech needed to move faster than ever before. Our end markets are changing in real-time, our customers' needs are constantly evolving, and new technologies mean that we can offer creative solutions to solve their problems if we as an organization, commit to working together as One Comtech. This means sharing our collective expertise, our insights, and abilities to improve everything from our operations, to our products, and our culture. It's early in the process, but the One Comtech journey is underway and working. I see it every day in our people and it's also being reflected in our financial performance. In addition to a quarter-over-quarter increase in consolidated net sales, representing the fourth straight quarter of topline sequential growth for Comtech, our bookings of $181 million foreshadows the increasing customer value we are creating as One Comtech. I should also point out that this performance was delivered even as we reorganized our business, continue to restructure our senior leadership team across multiple functions with key appointments, and continue to make changes to improve the functional machinery of our organization. I want to talk a little more about what we've accomplished and what you can expect from us going forward. And I want you to hear directly from our COO, Maria Hedden, as she's in the trenches, streamlining and improving our processes so that everything we do at Comtech we do better, faster, and more efficiently. Before that, I do want to turn the call over to Mike Bondi, our CFO, so he can walk you through our financial performance for the quarter. Mike?
Michael Bondi: Thanks Ken. For Q1 fiscal 2023, we recorded $131.1 million of consolidated net sales, of which $80.9 million were recorded in our Satellite and Space Communications segment, and $50.3 million were recorded in our Terrestrial and Wireless Networks segment. Our consolidated first quarter net sales represented a 3.3% increase over last quarter and, as Ken mentioned, our fourth consecutive quarterly increase. Compared to the year-ago quarter, our consolidated Q1 fiscal 2023 net sales increased $14.3 million or 12.2%, driven by higher revenue in our Satellite and Space Communication segment. Consolidated gross margins were 35.7%, in line with our gross margins achieved in Q1 and Q4 fiscal 2022. Our gross profit percentage in Q1 fiscal 2023 reflects an increase in net sales and overall product mix changes. It also reflects startup costs associated with the opening of our new high volume technology manufacturing centers, as well as increased costs resulting from the ongoing impacts of COVID-19 and inflationary pressures. As explained in more detail and reconciled in our Form 10-Q filed earlier today, we utilize a non-GAAP measure that we referred to as adjusted EBITDA. Q1 fiscal 2023 adjusted EBITDA was $10.7 million or 8.2% of consolidated net sales as compared to $5.5 million or 4.7% in Q1 fiscal 2022. The increase both in dollars and as a percentage of sales is primarily attributable to the increase in Q1 fiscal 2023 net sales. Sequentially, in line with our prior guidance, adjusted EBITDA in Q1 fiscal 2023 was lower, both in dollars and as a percentage of sales, reflecting overall changes in mix, the general rise in costs due to an inefficient supply chain and inflation, and the settlement last quarter of fiscal 2022 annual incentive compensation with fiscal -- fully vested share units in lieu of cash. As Ken previously mentioned, bookings during the quarter totaled $181.2 million, representing a 26.9% sequential quarterly increase, and a quarterly book-to-bill ratio of 1.38x. Our current revenue visibility is approximately $1.1 billion and is equal to the sum of our $668.2 million of funded backlog plus the total unfunded value of certain multi-year contracts that we have received and from which we expect future orders. Overall, our consolidated Q1 net sales and adjusted EBITDA were ahead of our guidance provided last quarter and we're pleased to have exceeded our targets, and to have increased our funded backlog from July, particularly in light of an economic environment that continues to be challenging. Now, let me return the call back over to Ken.
Ken Peterman: Thanks Mike. As I said, at the top of the call, a big part of our financial performance reflects a lot of hard work that we're doing to improve the core machinery of our business. In my opinion, we have the best people and the best solutions, and we serve the most demanding customers in the world and we're growing. To support everything, we're doing and everything we want to do, we have to make sure that Comtech's organization, operations and systems can keep pace with where our business is going. A lot of that work is being spearheaded by Maria Hedden, our Chief Operating Officer. Maria joined us in March, bringing over 20 years of executive P&L management experience and a history of improving business performance. At the core of Maria's work is a commitment to a One Comtech strategy, ensuring that everyone at the company shares a common set of tools and processes to improve and optimize everything they do every day. I want you to be able to hear directly from Maria, that's her workplace such an important role in accelerating the growth and profitability of our business. Maria?
Maria Hedden: Thanks Ken and good to be able to have the opportunity to speak with all of you today. Today is actually the first time I've participated on earnings call, but I think it highlights two things that I expect are important for investors. The first is that at Comtech, we are making serious strategic commitment to operational integration and excellence, what you've heard Ken call One Comtech. The second is that we are focused on translating that strategic commitment into tangible actions on the ground that improve the way we work, and the way we work with each other every day. Our belief is that cumulatively, those actions will make us a stronger company, will directly translate into growth and profitability, and in so doing deliver value to our shareholders. All of this is to say our One Comtech strategy isn't about ideas as much as it is about actions. Shortly after I arrived, it became clear to me that we already had the single most important resource a company can have in place, a talented passionate workforce. As I saw it, my job was to ensure that all these talented people had the right organizational machinery around them to support what they were already doing, and ways that were more effective, efficient, and scalable. We needed to collectively harmonize our business with best practices through each business unit. That meant everything from optimizing the company's supply chain. Our engineering operations, our manufacturing to our sales processes, including pricing and contract reviews. And it also meant we had to make sure all our teams were appropriately staffed to not only meet today's needs, but for the growth we anticipate. And it meant a reorganization of our leadership structure to make sure we had the right executives in place, but also create structures to ensure all our leaders had a clear sense of the totality of our business and access to the insights and innovation from across the business. In a very short period of time, we have not only committed ourselves to the idea of One Comtech, but we are implementing it. We have made key appointments and strong hires into leadership positions. We are in the process of a firmware business and operations improvement, project to control costs, where we can to defend and grow margins, while at the same time make deliberate investments to promote our growth and ability to operate at scale. And while this may sound straightforward, we make sure we are talking to each other all of the time. I have instituted a monthly business review process which convenes the entire leadership team for a full day to make sure we celebrate our wins, learn from our losses, and make sure our plans and targets are on track and appropriately resourced. Related, I also hosted a strategic goals deployment session so that I, as COO, can make sure that the organization has a clear understanding of how to properly support our growth initiatives. There's a lot of change happening at Comtech right now. And in many organizations, change can bring uncertainties and down, but at Comtech, I see every day what our financial performance this quarter confirms that we're making the right kinds of changes that are unleashing and empowering our people to do what they already were doing, innovating and delivering the best solutions to our customers around the world. We all know that there is a lot of work to do ahead of us, but I have the confidence that the changes we are, and will be implementing at Comtech, will create permanent competitive advantages for our company and our customers as well as value for our shareholders. Thank you for your time. And now let me turn to Ken for his closing remarks.
Ken Peterman: Thanks Maria. I just want to extend the point Maria was making about the incredible and incredibly positive changes that are happening every day at Comtech. As she said, we made significant changes to our leadership structure and now have executive focused on both our key end markets as well as our key customer segments. Tim Jenkins is our Terrestrial and Wireless Networks segment President and Justin Wexler is our Satellite and Space Communications segment President. We also appointed Daniel Gizinski as our Chief Strategy Officer for Defense, and Jay Whitehurst as our Chief Strategy Officer for Commercial. Finally, we appointed Doug Houston, our Vice President of Global Support. Together, it means we have a leadership structure that is ready to partner with customers across business units and has expertise in the specific needs of key customer segments. I believe that with the people we have in place, heading an organization that is itself improving every day, Comtech is poised for a successful year ahead. Before I move on to take questions, let me circle back to our bookings, which had $181 million for the quarter, we were over 2x higher than our first quarter of last fiscal year. Our investors should pick this to be a clear indication that while we continue to improve the machinery of our business, we have not and will not fail to remain completely focused on solving our customers' problems and creating unprecedented customer value in unique and innovative ways. Our contract wins during the quarter validate not only our unwavering customer focus, but also make it clear that Comtech solutions and services continue to set the standard in every one of our key markets. It never leaves our mind that we have the most demanding customers in the world. Our technology-enabled solutions are not just field tested, they are battle tested. We welcome new Comtech -- we welcome new business at Comtech. But I'm always happy to win repeat business too, because it means that these tough customers have put our products through their paces and we have measured up to their very high standards. Among the contracts were awarded during the quarter from customers we have worked with before, we saw key wins with the U.S. military as well as for the Ukrainian government, which is adding new communication systems identical to those we donated them -- donated to them in March of this year. In addition, one of the largest wireless carriers in the United States, renewed our 911 services contract with them, again, underscoring that across our segments and our end markets, customers have come to know, trust, and depend upon Comtech. With that, let me acknowledge that the road ahead will be challenging, given the macroeconomic environment that combines inflationary pressures, pandemic aftershocks, and unresolved geopolitical tensions. But we believe Comtech has never been better prepared to meet these challenges and take advantage of the opportunities they present. With new leadership, a new organization, a refreshed common operational infrastructure, and an energized and invigorated team, our One Comtech transformation is positioning us for success. One Comtech is working and we're moving fast. And we are winning in a market that is itself growing. Now, finally, I want to take a moment to thank Fred Kornberg for his 50 years of service to Comtech. Next week, Fred will be retiring from our Board and from all of us here at Comtech, we wish him well, and thank him for all his contributions over the years. And with that, let me take your questions.
Operator: [Operator Instructions] And we'll move first to Joe Gomes with NOBLE Capital. Please go ahead.
Joe Gomes: Good evening. Thanks for taking my questions.
Ken Peterman: Hi Joe.
Michael Bondi: Good evening Joe.
Joe Gomes: So, Ken, I wanted to ask you've now got a quarter under your belt, maybe a little more detail or color on your observations, your evaluations, your conclusions. You did some of that in your prepared remarks. So, you give a little -- dive a little bit deeper on that. And where are you getting any pushback -- if you're getting any pushback on some of these changes that you're making to the organization?
Ken Peterman: Yes, thanks, Joe. I'm going to offer perspective on that and then if Maria or Mike want to chime in, they can with respect to their -- the lens through which they look through. But I'll tell you that first of all, the move to One Comtech is challenging. And obviously, our biggest challenge here in the beginning is aligning our various businesses on the common operating practices and common operating systems. We're moving through that aggressively and we've baselined, the current configuration, current operating processes that they operate on. We put an integrated master schedule together that transitions them, we prioritize those tasks and we put key metrics and key performance indicators in place so that we can measure our performance on that. And we're able to forecast at this juncture when and how much the return on that investment might be and on what programs. So, the good news is we're moving ahead on that and the team is very excited about it. Secondly, I'll say that we've launched a number of crucial initiatives. One of those is the launch of the Innovation Foundry, our technical incubator, if you will, that's being led by our Chief Growth Officer. I'm really excited about that Joe because we've identified already some initial partners who can bring exciting and relevant technologies into that technology incubator so that we can assess and blend them with our own capabilities to demonstrate how they improve customer value and how they improve customer outcomes. And in this kind of a controlled environment, we can't even quantify what we think that customer value might be. That's really significant. So, one of the things is I'm really excited and enthusiastic about the Innovation Foundry and how that provides a lens through which we can up tier our capabilities to the systems and services level and measure the performance that that brings our customers.
Joe Gomes: Okay, great. Thank you for that. And pardon me, maybe you could talk a little bit more on the Terrestrial business. It was down sequentially, maybe a little more color detail, how is it the 911 market opportunities out there, the deployments, in Pennsylvania, Arizona, some of the other states that you've won? Are we making any move there, getting those deployments up and running? Any color there on the Terrestrial business will be great. Thank you,
Ken Peterman: Sure. Joe, thanks. I'm going to let Mike jump in on that.
Michael Bondi: Sure. Joe on the Terrestrial and Wireless business background again in early part of fiscal 2021, we announced winning several large 5G location-based services contracts. Those software contracts definitely contributed to a favorable sales mix that we disclosed last year in Q2 and Q3. Also coming in fiscal 2022 and especially in Q2, just to remind everybody, we did have a $2.5 million benefit to cost of sales that were the result of reducing the warranty accrual due to lower than expected warranty claims in that 911 product area. So, certainly, we had some favorable headwinds last year. When you look at the sales and the adjusted EBITDA contribution net in Q1 of fiscal 2023, as we stated before, we're subject to mix changes and the recently awarded statewide NG911 contracts, as we disclose generally have lower upfront margins, lower than our 911 Wireless Call Routing Services. And that's generally because the legacy 911 Call Routing Services are based on advanced and mature software. Whereas you have to keep in mind the new contracts that were winning in the 911 area, the NG911 area, those contracts were recently won, we're installing the infrastructure, and it's going to take some time, as we turn on the PSAPs to absorb that upfront cost. And in terms of improving margins over time, the more PSAPs apps we light up on the recurring service, our expectations are to have a better bottom-line. So, to answer your question, in terms of the progress on Pennsylvania, South Carolina, Arizona, those big contracts that we won, I think we are very happy with the progress on all three of those contracts. We're getting towards the tail end of the deployment, portions of those contracts, where we're spending the CapEx, and we have been lining up the PSAPs. And so we're very encouraged by that progress. And as we move into 2023, we'll likely to see more of those PSAPs go live.
Joe Gomes: Great. Thanks for the insight there, guys. I'll get back in queue. Thanks again.
Ken Peterman: Thanks Joe.
Michael Bondi: Thanks Joe.
Operator: And we'll take our next question from George Notter with Jefferies. Please go ahead.
George Notter: Hi guys. Thanks very much. You mentioned the $181 million number in bookings for the quarter, I assume that included some big chunky contracts. I think during the quarter, you announced a Tropo deal with the U.S. military for $50 million. I assume that ran through that bookings number. And are there any other kind of chunkier pieces in there as well?
Michael Bondi: I'll take that George. We did -- in our 10-Q, we tried to give some color on the largest of the orders. It's also included in the shareholder letter. And I think as you have outlined, we definitely have the next-gen Troposcatter terminals. That order was nice to see; it came in bigger than we were expecting. So, that was a great award. We also had the Ukrainian COMETs that was received in the first quarter, we made really good progress this quarter in the first quarter delivering on those 80 units. And in terms of the next item, I would say we call out we have a large Tier-1 carrier that we provide call routing services for that customer. And in the first quarter, we renewed our annual contract. Those are probably the largest -- we had some additional reset orders with the U.S. Army and some other key wins, but certainly those were the three largest that we would call out.
George Notter: Got it.
Ken Peterman: George, this is Ken. George I will tell you that, that as we bring our business together, we are seeing our addressable and serviceable markets expand as we look to harness the enterprise wide capability of One Comtech and that enables us to move up tier into the Systems and Services segment. So, we're pretty enthusiastic about the opportunities that's revealing to us and we're seeing customers even engage with us directly to better understand how this expanded value proposition can create value for them. We're engaging directly with both Satellite and Terrestrial customers. We have strategic partnering discussions underway in the upcoming 30 -- even within the next 30 days where we're hosting technology workshops and leveraging the innovation foundry to demonstrate and quantify these enhanced capabilities in a customer context. So, looking forward, our customers are aligned with us in this expanded value proposition, that's expanding our new business funnel going forward.
George Notter: Got it. Okay. A quick question on the balance sheet. Also, I think you guys have about $130 million drawn on the credit line, the revolver right now. I know that expires in the fall of next year. Can you, kind of, talk about your plans to kind of deal with that given where the balance sheet is right now?
Michael Bondi: Sure, George. In terms of the debt, on the balance sheet, it's actually a little north of what you just said. But more importantly, I would add, about a week ago, we did announce through 8-K that we did basically amend our credit facility. So, in the presentation on our balance sheet, you see as long-term it's because we were successful in getting our lenders to move forward with an amended deal. We did change some of the deal terms to be more representative of today's business, but that was a syndication we announced last week. And we're very pleased with that and very thankful in this environment. Obviously, you're reading a lot of news reports, there's a lot of skittishness out there with the lenders, dealing with a global recession, potentially higher default rates. And so navigating through that in this environment, we're very pleased with the outcome and it gives us the flexibility to operate.
George Notter: Got it, great. Thank you very much. I'll take a look at the 8-K. Appreciate it, guys. Thank you.
Ken Peterman: Thanks.
Operator: And we'll move next to Mike Latimore with Northland Capital Markets. Please go ahead.
Mike Latimore: Great, yes. Thank you. Yes, definitely hit the hit the ground running here, looks good. Just on the gross margin, can you just kind of go through a little bit of the drivers and headwinds you're seeing on gross margin this year, I was trying to get a sense of where that might go over time here?
Michael Bondi: Sure, in terms of our guidance, I certainly would be mindful of that we're only given guidance for Q2. We're certainly in economic environment, that's challenging, as Ken mentioned, and then we disclosed, we definitely have seen inflationary pressures, supply chains is still not running optimally. And against that background, and backdrop, we're pleased with our performance in Q1, we think that over time, our margins will improve. But we do have a lot of backlog in our Terrestrial and Wireless Network segment. A lot of that backlog is multi-year in nature, and that was set up a year or so ago. So, it will take some time to burn off that backlog. But when -- where we can, we are resetting that backlog with higher pricing that is market-based, taking into account inflationary pressures, but certainly for the rest of the year, it's a little too early to call. We're pleased with the fact that we're holding the line and able to keep that 35%. And as I pointed out last year, in Q2 -- Q1, we certainly had some favorability based on the mix at the time. But when you isolate those out, we're sitting in that mid-30% range. So, our goal and the targets for us are certainly higher. But we're right now, we're not going to go beyond what we're saying for Q2 is guidance on the top and bottom-line.
Ken Peterman: I will tell you Mike -- this is Ken, I'll tell you also that that we are making great progress, I'd like to give Maria chance to jump in here. But we clearly have the bus headed in the right direction. We got the right people in the bus, we got the right people in the right seats. And we provided some details on that in the shareholder letter with respect to who some of those people are. These are seasoned veterans that have done this kind of thing before bringing businesses -- siloed businesses together. And so maybe just a word from Maria, with respect to the metrics, the KPIs, the way you're tracking that on the integrated mattress schedule and driving the team against those goals.
Maria Hedden: Yes. Thanks, Ken. So, just a couple things on that. So, obviously, we've rolled out some of our people strategy and what we've dealt with that, but clearly some of the new processes that have been instituted over the last quarter that is focused on really understanding some of our business risks, understanding those key performance indicators. As Ken mentioned, I hosted a full day session of developing what our stress objectives and what we needed to do. And really that's driving visibility and alignment across the organization to stay focused on really being able to grow the organization, while continuing to perform day-to-day on our expectations.
Mike Latimore: Yes. Great. And then maybe just on the pipeline itself, let me guess you kind of called out the macroeconomic, geopolitical effects here, but also you've obviously had strong demand. So, maybe just in terms of the pipeline, how healthy is it? What areas are particularly prominent in the pipeline here?
Ken Peterman: Sure, I'll speak to that. I tell you, both our segments have some pretty exciting growth potential. In our Satellite and Space segment, we're now able to move up here to offer systems and services that our individual siloed businesses would not offer before. This significantly expands our market opportunities; it enables us to offer customers significantly greater value. It significantly expands our market opportunities, and it expands the size of our new business funnel. Now, we're able to offer customers in the Satellite and Space arena significantly greater value proposition because it creates more -- significantly more customer value, and we can move into more innovative business models that enable us to monetize that value proposition more effectively. So we're excited about that. Now, in Terrestrial and Wireless, we're expanding both geographically and we're also increasing the number of transactions that we handle with respect to either 911 calls or location-based queries. So, the number of transactions, as that increases and in fact, as we move toward machine-to-machine 911 like-calls and not just human-to-human, that will increase another -- and make available another dimension of growth, for Comtech. Thirdly, as the Satellite and Terrestrial Network infrastructures converge, we see ad growth opportunities in another dimension. And you see that with devices now offering multiple connectivity choices, terrestrial like Bluetooth, Wi-Fi, and cellular, but also satellite connectivity to Leo and you see multiple devices, and device providers moving in that direction. So, at the end of the day, we see significant growth potential in each of our individual segments, as well as at the enterprise level through the convergence of satellite and terrestrial domains, where Comtech is uniquely advantaged.
Mike Latimore: Yes, just last one. Troposcatter that a big part of the pipeline. Are there big deals out there?
Ken Peterman: Well, we see Tropo as an exciting technology that complements SATCOM because when SATCOM tends to degrade in its performance, such as in a hurricane, where you have extremely heavy rain, Troposcatter actually improves in its performance envelope, because it operates by bouncing the signal -- the propagated signal off of particles, and the more particles that are generally the better it works. So, it becomes a natural companion to SATCOM. And we see opportunity there in the traditional military and defense environment, but we also see opportunity commercially in terms of connectivity -- connecting oil and gas enterprises, providing robust connectivity between critical operations centers, like hospitals, fire houses, law enforcement, emergency operations centers in a hurricane or other kind of a situation. So, we see that technology being able to expand in the defense market. Because of the success it's having in the peer adversary conflict, we see it moving into new markets as well, adjacencies commercially, as well as at the enterprise level, like oil and gas. So, we see that as a significant growth opportunity for us.
Mike Latimore: Great, sounds good. Thank you.
Ken Peterman: Thank you, Mike.
Operator: And we'll take our next question from Chris Sakai with Singular Research. Please go ahead.
Unidentified Analyst: Hi, guys. This is [Sean] for Chris. In light of for you taking helm, Ken, and the temporary headwind to free cash flow, has there been a discussion around a commitment to and or growth of dividends?
Ken Peterman: Well, yes, I can tell you we look at deployment of capital on a regular basis. We try to optimize that with respect to driving our business performance and creating shareholder value. We deal with that at the Board level. So, yes, there's continuing conversations in that regard. Our capital allocation plans are continually discussed reviewed. I pointed to our disclosure in the liquidity section of our 10-Q. But I don't have anything specifically that I'm going to say on that right now beyond that -- beyond the fact that we continually look at.
Unidentified Analyst: Okay. The company's international customer base as a percentage has stayed constant last couple of years, last five years or so around one quarter and correct me if I'm wrong. So, can you comment on the dynamics of business developments internationally, and the sales and marketing efforts internationally, maybe how it is, per se, and how it is different from domestic dynamics?
Ken Peterman: We have a dedicated sales team that serves the international market, we have a dedicated sales team that serves a defense market, and then the domestic market as well. I think our international presence has about 21.2%. So you're right in the sense that it's about a quarter of our business. But it's going to benefit and as part of this One Comtech transformation in ways that seemed to me going in that they're going to be at least as favorable as our domestic and defense business. And the reason I say that is because as we move to ground -- satellite-ground infrastructure, and maybe providing that as a system or providing that as a service, international customers have the opportunity to benefit that as well. As we see the international community migrate from 2G and 3G to 4G, 5G technologies in the Terrestrial and Wireless market, we see the opportunity that that will benefit us. And we see the opportunity to extend our location-based services into the international market in a bigger way, too. So we think our -- really the several legs of our business, all can move into the international market, as we update our capabilities and our marketing schemes, the international market will benefit by that the same as our domestic and defense activities.
Unidentified Analyst: So, this quarter benefited from military sales -- foreign military sales of your beyond line of sight communication terminals, and for Ukrainian government to an extent you can give us color. Do you think next quarter and how long do you think -- any color you can give this would be a benefit?
Ken Peterman: What I can tell you is something we've said in our blogs, as well as other communications. And that is the most effective marketing person in the world is a customer in a uniform, a uniform son or daughter who is in a conflict or otherwise, in the service of the nation. And the Ukraine is a great example because they're in a conflict with what we like to say, as a pure adversary. And our equipment is present, our equipment is working. So, that becomes a test that has a greater value than any marketing brochure or podcast that I've ever seen. So yes, we do expect that to have an extent -- an extended benefit that continues the viability of our equipment, and extends its value, because it works, it works in the toughest of environments proven.
Unidentified Analyst: Absolutely. Yes. And it develops a great narrative for the stock too. And finally, it's a very long-term question and -- so if we can comment on this. So, the recent iPhone models have this Emergency SOS. So, in that regard, do you think this product from Apple or if you kind of draw a trend line, what they might come next year, in their products? It would be a competitive threat or a substitution possibility, or you'll see it the way that Apple's foray as a complementary to company's offerings?
Ken Peterman: Well, I'll tell you the convergence of Satellite and Terrestrial Network infrastructures we see as a significant opportunity for Comtech because we have technology leadership in both of those domains. They have traditionally been different domains with different devices, different frequency bands, and frankly, different players. We've been strong and are strong in both of those domains. And so as that convergence of Satellite and Terrestrial comes together, we see Comtech uniquely positioned to take advantage of that. That's I'll say that as a first point. The second point that I'll say is sometimes the future is predicted by looking at the past. And when we saw the flip phone, which was voice-only moved to the BlackBerry, what you saw is the BlackBerry took market share away from the providers that only had voice. But when you saw the smartphone emerge, it had -- it introduced the opportunity for many more applications, many more apps could run on a smartphone. So, when the smartphone was introduced, it didn't just take market share from the Blackberry, it in fact, created a much larger market of new apps that had never been done before that created enormous customer or user value. Apps such as downloading your boarding pass, making restaurant reservations, online banking, I don't need to list them, you see them on your phone. Okay, so in the second case, the smartphone's introduction didn't just take market share from the incumbent, it expanded the entire ecosystem. So, now bringing your attention to looking forward. None of us know right now, whether the convergence of Satellite and Terrestrial is going to behave like the former, where it's going to take market share from those providers that do not provide SATCOM or whether it will create an explosion in the ecosystem of new apps and new capabilities that create an expanded market for everyone. So, I'm not going to make a prediction, except to say that, that I think Comtech -- reiterate my first point, Comtech is I think, very advantageously positioned, because our strength in both Satellite and Terrestrial Network technologies and location-based services. So, that's one of the reasons -- one of the driving reasons, we bought our siloed businesses together, so we can up-tier our capabilities and take advantage of this kind of a market inflection.
Unidentified Analyst: Thank you. Thank you so much. Good luck to you and the new team. Appreciate it.
Ken Peterman: Thank you.
Michael Bondi: Thank you.
Operator: [Operator Instructions] We'll move next to Greg Burns with Sidoti & Company. Please go ahead.
Greg Burns: Good afternoon. With the Terrestrial and Wireless segment, what is a good target for a steady state margin profile for that business?
Michael Bondi: Yes, I think historically, we saw -- because it was combined with our commercial saving, you saw the EBITDA profile there. Going forward, certainly, we're at a point where we're seeing convergence of two types of revenue streams at the same time and the building up of the NG911 revenue. So, right now, I'd say, initially, as we absorb those upfront costs, the EBITDA contribution will be sort of what you're seeing right now, because we're in between those large 5G LBS contracts. As we announced in Q4, we had a nice sized order come through, but you'll see the revenues from that ramp up towards the tail end of this year. So, right now you're getting a more of a mix of our NG 911 revenues. And as we as we said, flip on more PSAPs and start leveraging the infrastructure over a broader base of recurring services, the EBITDA profile will improve. I'm not going to give a specific percentage, but it's certainly higher than what it is right now because we're just at the front end of those contracts.
Greg Burns: Can you give like, a range like high teens, low 20s? Like, what should investors be expecting from this business as these 911 deals scale up?
Michael Bondi: I'll answer it this way in a more broader answer. In in the past couple of years, you've seen our EBITDA contributions come down from say, the 14%, that we were doing pre-COVID. As a company in all of our product areas, not just in the 911 area, we want to get back to those historical levels and if not exceed that. As we've articulated, we have a lot of initiatives going on right now and once we start to bear fruit, our expectation is that we will get there. So, I don't want to overstate we have a lot of work to do. It's certainly a challenging environment, but in the next couple of years, I would expect this to get back to that level.
Greg Burns: Okay. On the contract with Verizon, how many years has that extended for? And was there any change in pricing?
Michael Bondi: That contract was an annual renewal. It was at this point in time annual renewals, and in terms of pricing, just due to competitive aspects of it, we have a very good relationship with a Tier 1 carrier, and it was a seamless type of renewal.
Ken Peterman: Just rolled forward.
Greg Burns: Okay. The Tropo deliveries to the marines, or maybe that was in bookings, can you remind us that the total size of that contract that you were awarded, and how much of that have you delivered on?
Ken Peterman: Greg, just to be clear, you're talking about the marine contract for next gen Tropo?
Greg Burns: Yes.
Ken Peterman: Okay. That's the contract we won about two years ago. I think the headline ceiling was $200 plus million, maybe $213 million. We initially got a $13 million order to run out the first leg of prototypes, which we delivered about a year ago. And they've been using them in the field and testing them. And this particular go around, it was a $50 plus million order that we received, which is sort of the first production run in terms of their needs for it, it's something that they have a need and a desire for, it's going to take some time to get the deliveries out based on the fact that it's a very large order. But globally, there's still a lot of headroom left on that contract. But in terms of our outlook, we're just focusing on the current order that we have.
Greg Burns: Okay. And then the, the award to the U.S. Army, I think at the time, when you were awarded the Marine contract, the U.S. Army had a larger contract that they awarded to someone else is the is what you were awarded this quarter part of that, are they coming back to market? Like, what is the opportunity there?
Ken Peterman: Well, we were awarded, this quarter is completely independent of the Army situation. The Army situation is one that we are exploring, and working toward, because our equipment -- as I mentioned, before, our equipment is proven in battle. And obviously, that's a heck of a credential. So, what we're doing is trying to leverage that, and have exploratory discussions that can lead to something that helps the Army be more effective as they get in the fight. But we don't have anything more to say on that right now.
Greg Burns: Okay. And then on the E911 side, any update on Ohio, is there any line of sight on when funding might be approved for that contract?
Michael Bondi: You want me to take that one?
Ken Peterman: Yes.
Michael Bondi: So, in terms of Ohio, I think at this point, it's not likely to be voted on before the end of the year. In our view, just to remind everybody that that was just a booking this year and there was likely no revenue contribution, just given that you have to do a lot of design work upfront. But we are working very closely with our end customer, they certainly have a need and a desire for the application. And trying to figure out the next steps, you know, in terms of what kind of funding we can get. Our view right now in terms of our outlook is, it's certainly a large contract potential could be north of $100 million. But right now in terms of setting our own expectations, we're viewing is it's something that could be in the short-term to get a booking, but in terms of revenue contribution, or EBITDA contribution wouldn't be until next year. And it's likely to be something that's going to be a function of how much funding they give us up front. I don't think so, at this point, give us the whole thing up front, it might be in increments, but it's still -- stories to be told there. I think we have to wait for the next session to see how the vote goes.
Greg Burns: Okay. And the pipeline for E911, is there any other large state contracts that are up for bid that we should be focusing on?
Michael Bondi: Yes, there are other opportunities. So, despite getting pushed out for us, Ohio, we certainly have identified other near-term opportunities. We're not sitting idle in terms of the competitive nature of those procurements. I'm not going to name the states or the regions, but there are a handful of those that are coming to market and we'll be responding and I think with our recent wins and our capabilities, we think we have good positioning there. But we'll have more to report on that in the future.
Greg Burns: Okay. And then lastly, you're bringing on that added capacity in Arizona now and I think a large part of that is to satisfy some of their high volume -- some new high volume production for the new LEO and MEO satellite networks that are out there, is there any update on when those might ramp up and start contributing to revenue?
Michael Bondi: Yes, sure, in terms of our progress here with our large LEO customer, as we announced last quarter, we expanded our relationship. Certainly, there's a desire to move fast. And the facility that we are bringing online, has the capabilities to meet the high volume demands that we would expect from this contract over time. And in terms of where we're sitting with the customer, like I said, things are progressing. We expanded the relationship, we're talking about other aspects of that relationship, in other areas of this overall relationship. And we'll see in terms of our timing for production orders, I think that's still early to call. But as always said it could be later in this year, early part of next year with revenue contributions in 2024. But it's certainly going in the right direction. I don't know if anybody else wants to say--
Maria Hedden: Yes, just some other things, in addition to what Mike shared, obviously, there's a couple of development contracts that we're moving into production phase. And with the rollout of our new SMT line, it will definitely make us more efficient as we build those units, and continue to drive production costs higher for that facility. So, we definitely are planning as part of that release and opening of the facility to drive additional throughput through the facility, and workload in that area.
Greg Burns: Perfect. Thank you.
Operator: And we'll take our last question from Asiya Merchant with Citigroup. Please go ahead.
Asiya Merchant: Great. Thanks for the opportunity. So, a lot of questions have been asked. I just wanted to ask about cash flow, with a drawdown this quarter as well on your cash flow from operations? And how should we think about the cash trajectory for the remainder of the year?
Michael Bondi: Sure, just to level-set to for the quarter, Asiya, keep in mind that we did pay out about $4 million in CEO transition cost during the quarter. So, just making sure you're aware of that. In light of our backlog growing about $50 million this quarter, we certainly felt that it was prudent to start the procurement cycle of some specific items to support that increase in backlog. And from an investing perspective, CapEx in Q1, might look a little high right now, but, keep in mind that at the end of last year, we had about $6 million of unpaid capital purchases. So, that hit in Q1. And coming off of a $30 million target for last year, we -- holistically we spent about $25 million of that $26 million. So, where we can, we are trying to be very prudent about the timing and the amounts of what we're spending. Certainly, we have thoughts of growth in our future and so we will continue to make those investments. But at the same time, we're also seeing the channel of facility move coming towards the end. The Pennsylvania contract, Arizona contract, and South Carolina contract in the 911 space, we're also getting those PSAPs on to the system. So, we should start to see that CapEx start to turn back to more historical levels. In terms of cash flows for Q2, we still have some other initiatives that we're working on, I would say, you can -- I'm going to give specific guidance on CapEx for Q2, but it's going to be probably still elevated, and then trail off towards the back half of the year. But in terms of overall cash flow generation, we're trying to be mindful of a leverage ratio now that we have a new credit facility in place. We have some flexibility to operate and to support some of these large bookings. So, overall for the year, I'm not going to give a specific number. We do at this point, expect to be positive, but there's a lot of year left, we still have some pipeline opportunities that may hit and so right now, we're just going to keep our comments down to Q2.
Asiya Merchant: Okay. And then just -- there are these one-off charges that kind of seems to show up in the non-GAAP adjusted strategic technology costs and things like this. Is this going to be -- is this something that's recurring? And then if so, why not just included in your regular R&D or OpEx?
Michael Bondi: In terms of the strategic emerging technology costs, it is specific to a type of technology and customer set. As we're evaluating this market, it's not recurring in nature, say for the opportunities that are very near-term in front of us, we would not likely be spending that. But because of those opportunities, we made a decision as a company to go above and beyond to show our potential customers and existing customers that we're here to partner with them. So, it will be something that is not going to be there for forever. But right now, there's -- it’s a very competitive marketplace, there's a lot of opportunity to grab and so we're going to make those investments to secure for the long-term.
Asiya Merchant: Okay. And then I know you guys talked about EBITDA margins and how currently, there's puts and takes to that specifically, on -- why hanging around the 8% level? I know, you guys are guiding, but is it fair to assume that by the end of the year, at least, as you exit into fiscal -- as you exit this fiscal year, maybe even into early next year, we should get back to margins with the double-digit level versus these high single-digit margins that you are right now at?
Michael Bondi: Asiya, I would love to address that question with a definitive and percentage. But right now, while we're encouraged at the start of Q1 and going into Q2, it's just a little too early for us to call in terms of this challenging environment that we're still navigating through. And so we're going to keep our comments to our topline and bottom-line growth for Q2 at this point.
Asiya Merchant: Okay. And sorry, one last one. So, a lot of telecom equipment companies are reporting better results. And some of it's just a function of better supply chain that's allowing them to convert elevated levels of backlog into revenues. Can you give some color on how much perhaps that was an effect on the revenues that were better than what was expected for the quarter?
Michael Bondi: Yes, I mean, I would say this Asiya, the -- our trajectory, we certainly are pleased with our trajectory having four quarters of sequential growth. So, I know we're being compared to maybe others in industry, but certainly with what we had to face in 2022, with certain specific headwinds in our business, and then the Russia-Ukraine war, it's nice to see that we've been growing our backlog and having such a strong bookings quarter. So, it's in our backlog, we now just need to execute on it. Supply chain, we're aware of what we have to work around, namely long lead items, and making sure we procure timely enough to deliver on time. But I think we are building a good foundation to continue our growth.
Ken Peterman: I'd like to add to that, if we just take a minute and then I can have Maria add some color too. One of the significant value propositions of bringing our siloed businesses together as One Comtech is we can now deal with our supply chain with a single voice, an amplified voice. And instead of maybe ordering perhaps the same part through two different businesses in smaller quantities, we can speak with a louder voice and consolidate those buys and we should see a benefit from that. In addition, we're doing some strategic sourcing. We put -- brought some of the seasoned veterans on Board. I'll have Maria offer another comment to extend into that part of the discussion.
Maria Hedden: Yes, thanks Ken. So, we brought on Don [Boruch] as our VP of Operations and one of his initial charters is really to drive strategic sourcing. He has his team around him, he's identified some near-term opportunities. And obviously that will definitely be impacting our ability in the supply chain to be able to leverage that and drive more efficiencies across the entire business. Instead of it being stovepipe, as it is today.
Ken Peterman: When we talk about improving the machinery of our business operations, that's the kind of thing we're talking about.
Asiya Merchant: Makes sense. Thank you.
Operator: It does appear there are no further questions at this time. I would now like to turn it back to Robert Samuels for any closing remarks.
Robert Samuels: Yes, thanks. Just thanks to Ken, Mike, and Maria, and thanks to everyone for dialing in today. As Ken said, there are additional details about our strategy and performance available in our investor letter and SEC filings and we'll provide ongoing insights in our Signals blog. And as a reminder, we intend to be as responsive as we can with investors going forward. So, for anyone with questions, please just reach out to me directly and let's connect. So, this concludes our first quarter call. Happy Holidays to our employees, customers, suppliers, and shareholders. We thank you for your continued support.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time and have a wonderful evening.